Operator: Good afternoon, ladies and gentlemen. Welcome to RBC 2008 third quarter results conference call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Ms. Marcia Moffat, Head of Investor Relations. Please go ahead, Ms. Moffat.
Marcia Moffat: Thank you, operator. Good afternoon, everyone, and thanks for joining us. Presenting to you today are Gord Nixon, our CEO; Morten Friis, our Chief Financial [ph] Officer; and Janice Fukakusa, our Chief Financial Officer. Following their comments, we will open up the call for questions from analysts. The call will be an hour long and we’ll post management’s formal remarks on our website shortly after the call. Joining us for your questions are Barb Stymiest, our Chief Operating Officer; Dave McKay, Head of Canadian Banking; George Lewis, Head of Wealth Management; Jim Westlake, Head of International Banking and Insurance; Chuck Winograd, CEO of Capital Markets; and Doug McGregor and Mark Standish, Co-Presidents of Capital Markets. As noted on slide two, our comments may contain forward-looking statements, which involve applying assumptions and have inherent risks and uncertainties. Actual results could differ materially from these statements. I’ll now turn the call over to Gord Nixon.
Gord Nixon: Thanks very much, Marcia. And good afternoon, everybody. We are now three quarters through this fiscal year and we’ve generated $3.4 billion of earnings and an ROE of just under 19%, which we think are very impressive results when you consider the performance of financial institutions around the globe and the state of the overall marketplace. We performed solidly through difficult market conditions, which I think demonstrates the strength of our people as well as the organization. We’ve effectively managed our costs and our risks while taking advantage of market opportunities and continuing to invest for future growth across our diversified businesses. Most importantly, we are staying very focused on our three strategic goals; to be the undisputed leader in financial services in Canada, to build on our strength in the United States, and to be a premier provider of selected financial services globally. Like to give you some highlights with respect to our first quarter. We earned $1.3 billion this quarter, which is down $133 million from a year ago and up $334 million from the second quarter of this year. Our reported diluted earnings per share were $0.92, and I would highlight that this is after writedowns of $0.20 and the impact of that. Even with these writedowns, our revenues are at record levels and our underlying earnings are very strong reflecting continued success of our diversified businesses. Canadian Banking had record results with net income of 709 million, which was up 19% from last year. There were no unusual items and we grew volumes across all businesses and generated strong operating leverage through revenue growth as well as effective cost management. Personal core deposits have grown 15% over last year and home equity lending is up 17%. We continue to work hard to enhance our clients experience by opening new branches, adding ATM, and renovating our existing branches. We are not only earning more business from current clients, we are attracting new clients. Over the last year, we increased our market share in personal core deposits and mortgages by 54 basis points and 19 basis points respectively. Consistent with our strategy of expanding services for clients, we recently announced the acquisition of ABN AMRO’s Canadian commercial leasing division. Our Wealth Management results were also strong. We increased fee-based client assets and continue to leave the Canadian Mutual Fund industry and total net sales. Our results include the contribution from PH&N, which combined with our existing business makes us the largest Canadian Mutual Fund company with a leading presence in all clients segments of the asset management business in Canada. We also continue to grow our global asset management capabilities with the acquisition of the 10% interest in O'Shaughnessy Asset Management, a long time partner for RBC, and the acquisition of Access Capital Strategies, a US independent investment advisor that expands our capability into social responsible investing. Within our Canadian Wealth Management business, RBC Dominion Securities, Canada’s largest full-service wealth manager, continue to recruit experienced and successful investment advisors from our competitors across the country. They are attracted to the merits of RBC’s financial strength and stability, our dedicated focus on Wealth Management, as well as the value they can offer their clients through our broad product and service offerings. We continued to grow our US Wealth Management business with the acquisition of Ferris, Baker Watts bringing our total number of financial consultants to over 2,100. Our International Wealth Management business continues to grow, as reflected by the steady increase in loans and deposits. Both our US and International Wealth Management businesses have been successful in attracting experienced advisors and other client-facing professionals from our global competitors during this period of volatility. In our International Banking segment, our US banking operations continue to experience difficulties, particularly in residential builders finance, because of the ongoing stresses in the US housing market and the tough operating environment. That said, the relative size of these issues is manageable in the context of RBC and we have dedicated professionals focused on systematically managing our US banking loan portfolio. Morten will speak more about the US credit environment during his comments. Performance in other areas of our US banking operations continues, though, to be acceptable and stronger than most of our US peers. We are making good progress on integrating Alabama National, we are working through the current environment, and we are focused on having the best bank possible and a good earnings recovery when the credit environment starts to improve. In our Caribbean operations, this quarter we completed the acquisition of RBTT, which has significantly expanded our presence throughout the Caribbean. RBC is now the second largest bank in the English-speaking Caribbean and fourth largest overall. We will be integrating this acquisition in the months to come and improving access and choice for our Caribbean clients. RBC Dexia continued to perform well through these challenging markets. Insurance also performed well this quarter and continued to add to our business mix. Capital Markets delivered a return on equity this quarter of 18% and net income of $269 million, despite the impact of the writedowns. This is a testament, we believe, to the strength of our diversified businesses. We are continuing to invest across our Capital Markets businesses and capitalizing on opportunities created by the market environment to win business as well as recruit top talent. For example, we added significant new talent to our municipal finance practice, which we are growing in select, targeted areas, including healthcare and housing, and we also added to our US Leveraged Finance team. We’re continuing to build out our North American energy focused commodities team. Consistent with this, we recently closed the acquisition of Richardson Barr & Company, a leading Houston-based energy advisory firm specializing in acquisitions and divestitures in the exploration and production sector. Turning to our year-to-date performance versus objectives on slide seven. Our ability to meet our objective has been impacted by the writedowns as well as higher provisions for credit losses in US banking. However, our capital position remains very strong with Tier 1 capital ratio of 9.5%, and we expect it to remain well over our objective of 8% for the balance of 2008 and of course that incorporates the acquisitions. We are maintaining our quarterly dividend at $0.50 in the fourth quarter. As I’ve mentioned several times over the past year, RBC has historically pulled away from the competition in times of turmoil. And I can tell you that we are certainly seeing that today. We have market leadership, client focus, a good balance sheet, strong capital ratios and strong senior debt ratings, and excellent access to funding. And we will continue to leverage these strengths to take advantage of market opportunities. We believe we have the right strategies and the right people in place for our businesses to succeed, and we will continue to work hard to execute against the three strategic strategies that I outlined before. With that, I’d now like to turn it over to Morten Friis. Morten?
Morten Friis: Thanks, Gord. I’ll start with a review of the writedowns and then provide an update on our credit portfolio. As Gord mentioned, we had writedowns in the quarter of $498 million before tax, or $263 million after-tax and related compensation adjustments. As shown on slide ten, these were in Capital Markets, Corporate Support, and International Banking. Full details are provided on pages five through eight of our Report to shareholders. Starting with Capital Markets, we had $173 million of writedowns related to the structured credit transaction that we hedged with MBIA. This amount reflect the declines in the fair value of credit default swaps with MBIA, expected recovery rates on the underlying assets and other parameter inputs. A further $97 million related to declines in the fair value of subprime CDOs of asset-backed securities and other subprime residential mortgage-backed securities. Unrelated to US subprime, the remaining writedowns in Capital Markets totaled $72 million and related to auction rate securities, our US municipal GIC business, US commercial mortgage-backed securities, and our US Insurance and Pension solutions business. These are all areas that I’ve discussed in previous quarters and are covered in the Report to Shareholders. Turning to Corporate Support, $88 million of writedowns related to available-for-sale holdings of Alt-A and US subprime RMBS that we determined to be other than temporarily impaired and $15 million related to declines in the fair value of Alt-A RMBS in trading portfolios. In International Banking, we had writedowns of $39 million on preferred stock of Freddie Mac and Fannie Mae held in our US banking business that we deemed impaired due to recent events. We also had a $14 million writedown on available-for-sale holdings of Alt-A RMBS that we determined to be other than temporarily impaired. Turning to slide 11, two of the largest days of net trading losses and the single day of large gains at the end of the quarter were primarily due to month-end valuation adjustments. The remaining two large net trading loss days this quarter were largely attributable to significant volatility in the equity and credit markets and did not exceed global VaR for each respective day. Turning to credit, pages 30 to 31 of our Report to Shareholders discuss credit quality and include a breakdown of the loan portfolio in our US banking operations. Over 80% of our loan book is based in Canada and credit quality in Canada remains stable. Increases in Canadian gross impaired loans and provisions for credit losses mostly related to portfolio growth. You can see from slides 12 and 13 that GIL and PCL ratios in Canada continue to be low and comparable to prior quarters. About 6% of our loan book is international. The increase in gross impaired loans that you see from the second quarter is largely due to our June 2008 acquisition of RBTT. Finally, approximately 13% of our loan book is based in the US where, as you know, credit quality has been deteriorating. As shown on slides 12 and 13, gross impaired loans and provisions for credit losses in the US have increased compared to last quarter. The credit issues are primarily in residential builder finance, though our commercial banking portfolio is also showing deterioration in some areas. In the retail portfolio, home equity lending and lot loans have also weakened compared to last quarter. US residential builder finance loans consist of our ongoing builder finance business and RBC Real Estate Finance Inc., a wholly-owned subsidiary set up to manage the wind-down of builder finance loans from the out-of-footprint states as well as certain other impaired US residential builder finance loans from the in-footprint portfolio. Builder finance loans account for over half of the PCL in the US this quarter. To date, we have not seen widespread problems in our general US commercial and business banking portfolio. However, we have seen higher impaired loans and PCL in areas related to supplying or providing services to the US housing market, such as building supplies. While our US retail portfolio experienced higher impaired loans and PCL, particularly in home equity and lot loans, we believe the portfolio is generally of good quality. In the retail portfolio, we have very little unsecured lending or credit cards and no subprime origination programs. To conclude, while we do have some challenges in our US loan portfolios, this represents a relatively small portion of our overall loan book. The remainder of our loan book continues to perform very well. At this point, I’ll turn the call over to Janice Fukakusa to discuss our third quarter results.
Janice Fukakusa: Thanks, Morten. Slide 16 provides an overview of our quarterly performance. We had strong results in Canadian Banking, Wealth Management, Insurance, and certain businesses in Capital Markets. Net income was down $133 million from last year, reflecting the writedowns and higher PCL primarily in our US banking business that Morten highlighted earlier. Non-interest expense was up 3% from a year ago reflecting higher costs in supporting business growth, acquisitions, and infrastructure investments. Stepping back a little here, we constantly evaluate internally how we are doing in terms of expense management. When we do this, we look at expenses net of variable compensation. Looking over the last several quarters in this context, we have been able to carefully manage our expense growth rate while continuing to support enterprise-wide business growth. The notion of revenue growth is part of all cost management discussions at RBC. We have added many points of access and advisors, allowing clients to get advice when and where they need it while continuing to become more cost efficient. Turning to slide 17, our capital position is strong. Our Tier 1 capital ratio this quarter was 9.5% under Basel II. This was unchanged from last quarter even with the acquisitions of PH&N and RBTT, which were partly funded with equity. Our total capital ratio was 11.7% and our assets-to-capital multiple was 19.4 times. I’ll now review the quarterly performance of our five business segments. Starting with Canadian Banking on slide 19, net income was up 19% over last year on strong volume growth across all our businesses. Operating leverage was 8%, with revenue up 5% and NIE down 3% through effective cost management. On slide 20, you will see that our net interest margin decreased over the year and the quarter. This reflects our clients’ continued preference for lower-spread products such as home equity and high interest savings accounts, as well as the lower interest rate environment. Lower credit card spreads due to higher volume of low-rate offers also contributed to the decrease from last year. However, due to excellent volume growth, we grew net interest income in Canadian Banking by 6% over last year. Looking at Wealth Management on slide 22, net income was up 5% or $9 million from a year ago. We had higher fee-based revenue, including the contribution from our PH&N acquisition, and higher loan and deposit balances in our international wealth management business. Transaction volumes across our full service brokerage businesses were lower due to weak market conditions. Non-interest expense increased 1% from last year mainly in support of business growth, including the PH&N and FBW acquisitions. Moving on to Insurance on slide 24, earnings increased 33% or $34 million over last year. This is largely due to favorable actuarial adjustments reflecting management actions and assumption changes, improved Universal Life experience and business growth, mostly in our reinsurance business. Total revenue was up 45% over last year, primarily reflecting the mark-to-market impact on investments backing our life and health policyholder liabilities, which is largely offset in policyholder benefits and claims. Turning to International Banking on slide 26, we had a net loss of $16 million, which compares to net income of $87 million last year. This is mainly due to higher provisions for credit losses, reflecting higher impaired loans in our US residential builder finance, commercial and retail loan portfolios and a writedown of $53 million, or $33 million after-tax, on the investment portfolio in our US banking business. This was partially offset by contributions from the ANB and RBTT acquisitions and business growth at RBC Dexia. Non-interest expense was up 25% from the prior year, reflecting the ANB and RBTT acquisitions and higher staff costs at RBC Dexia in support of business growth. Turning to Capital Markets on slide 28, net income was down 25% from last year, largely reflecting the writedowns that Gord and Morten discussed. Notwithstanding the writedowns, we had strong results in some trading businesses, including fixed income, equity derivatives, and foreign exchange, where we were able to take advantage of the market volatility and the interest rate environment. We also had higher gains on credit derivative contracts used to economically hedge our corporate lending portfolio. Non-interest expense increased 3% over last year, which reflects infrastructure investments in certain businesses. At this point, I’ll turn the call back over to Marcia.
Marcia Moffat: Thank you, Janice. We’ll now take your questions. What I would ask is that each of you please limit yourself to two questions and then re-queue so that everyone has an opportunity to participate. Operator?
Operator: Thank you. (Operator instructions) The first question is from Brad Smith from Blackmont Capital. Please go ahead.
Brad Smith – Blackmont Capital: Thanks very much. This is a question for you. Just wondering if you could update us with respect to your thinking about the US growth opportunities that you’re seeing and maybe just touch a little bit on how you look at the return potential there relative to the risk in contrast that against your Canadian opportunities, which seem to be growing.
Gord Nixon: Yes. I mean, I think that, as everybody is aware, certainly valuations in the US have dropped very dramatically although the US marketplace is not without its challenges and particularly as it relates to the real estate sector. When you look at the retail banking, our first loan commercial banking business in the United States, there is equity market values and then there is real value when you look at the balance sheets and the loan books and the mark-to-markets. And I would say that we look at the US with a tremendous amount of caution, given the current operating environment, but we also want to be positioned to take advantage of opportunities, which sounds a little bit witchy-watchy, but I think it’s very consistent with where we’ve been for quite sometime where we are willing to look into explore opportunities, but we certainly don’t want to do anything that’s going to compromise the financial strength and the performance of the organization. And there are still a lot of challenges when you look at investment opportunities in that marketplace. And I would also say, which I’ve said many times before, is while US banking gets a lot of attention because of what’s going on there, we continue to look at opportunities across all of our businesses and a lot of businesses are finding opportunities to invest capital at very good rates of written and whether that’s in banking outside of the United States like RBTT, PH&N, some of the smaller investments we’ve made this past quarter, the acquisition in Houston, the leasing business from ABN AMRO. I mean, we’ve got a pretty I think aggressive but disciplined approach in terms of looking at ways where we can invest capital wisely and take advantages of opportunities given the turmoil and it’s not all related to US banking. So I would say, we will continue to be very cautious with respect to that market, but at the same time, we are paying a lot of attention to what’s going on.
Brad Smith – Blackmont Capital: Gord, you also mentioned I believe in your introductory comments that you are building on your domestic retail brokerage distribution network, can you put any numbers on that for us and give us any indications as to what the implications are for your platform here in Canada?
Gord Nixon: Well, I’ll let George Lewis answer that and I don’t think it’s just the retail platform, but that’s certainly one that we’ve highlight. But George, perhaps you’d like to talk about Canada Wealth Management?
George Lewis: Sure, thanks, Gordon. The growth of our full-service brokerage business here in Canada has been driven really by the attraction or attention of the experienced advisors from our competition. As Gord highlighted, they are attracted to the fact that we do have a dedicated focus on Wealth Management here at RBC. They are attracted by what is the broadest and deepest product and service offering. And I think certainly here in Canada, but also in the US, internationally they are attracted to the strength of the overall institution in these times as well. So, just to pick Canadian Wealth Management, which was the focus of your question, we’ve moved from 1,300 advisors a couple of years ago to over 1,400 today while continuing to actually improve the productivity of those advisors as well.
Brad Smith – Blackmont Capital: Can you just talk a little bit about the productivity in terms of how you measure it and how it has changed over that same time period?
George Lewis: Sure. I think it includes some overall information for our Wealth Management business in terms of revenue per FC on our supplementary slides. But that’s an average in a blend of our advisors across Canada, in the US, and internationally. Speaking of Canada in particular, Dominion – RBC DS here would have roughly 50% of larger if I recall – 50% larger revenue per FC or books per FC compared to our nearest competitor. That’s continued to extend over time. Last year we were the first business here in Canada that passed $150 billion mark in assets under administration. We have, again, a force of 1,300 to 1,400 IAs here.
Brad Smith – Blackmont Capital: Okay. Terrific. Thanks so much.
George Lewis: Thank you, Brad.
Operator: Thank you. The next question is from Jim Bantis from Credit Suisse. Please go ahead.
Jim Bantis – Credit Suisse: Hi, good afternoon. Questions for Chuck and Doug. I remember the last call we tried to find a roadmap how to get back to $1 billion in revenue coming from the Capital Markets business and you’ve done it pretty quickly this quarter. And I guess if I add back the charge of $350 million, this looks to be one of the highest record quarters in terms Capital Markets particularly coming under global markets. And I’m wondering if you can just give us a little bit of details and flavor for what’s coming out of global markets? Is it – it’s got to be, I imagine, bank positioning in terms certain products as opposed to client volumes that are driving this very strong revenue growth in global markets. If you could just talk about that, that would be great.
Chuck Winograd: This is Chuck. I mean, basically global markets is our fixed income and derivatives business, as well as it’s got a number of other businesses. But basically it’s been very broad-based. I mean, the fixed income business has been attractive. And remember when we’re talking about the fixed income business, we are talking about the Canadian business, which is the core, but not necessarily the biggest part of it anymore, but what we have in the US, which is really the most recent addition and what we have in Europe. And just as an example, both the US and Europe -- the US, we’ve totally restructured over the last two years and we are basically starting to see some substantial benefit from that restructuring and we’ve developing a Capital Markets business out of what was a regional business and it’s really started to hum. Europe had some major changes in it over the last 18 months and that’s starting to come forward. So it’s not just a matter of the markets or volumes or pricing, although pricing is clearly better this year, but it’s a matter of investment in two parts of the business over the last couple of years that are starting to pay off. In addition to that, as you know, the Forex markets have been very good and we’ve done well in them. And in addition to that, we’ve got a strong proprietary business in GAT [ph], which has done well this year. And I would just add that we manage short-term money in that business, our short-term flows. And that’s been a very good business to be in. So I think – Stan, you would know, but I think I’ve covered most of –
Mark Standish: Basically, Jim, that’s the four points. We did restructure the US, it’s gone well. We continue to invest in that platform because it’s performing very well. As Chuck said, we’ve seen very significant increases in spread in the marketplace, which we’ve been able to take advantage of. And obviously, we’ve enjoyed significant market volatility. So you put those four things together, and it’s great for a disciplined, well-focused cash business.
Chuck Winograd: And you know, it spreads not only in the global market side, but in what we call our given side, which Doug can add comment on. I mean, last year -- or two years ago, we basically brought Carlin on board and we’ve dramatically changed our US equity business over the last two years. We are seeing payback on it. As an example, our investment banking revenues is this quarter – Canada has been a tough place to be here. The US has been quite strong for us over the year, but the third quarter was, as you’ve seen, in just the business has suffered. But over the last couple of years, we’ve built a very nice business in energy and mining in London. And we have quite a sizable operation there now and it happened to contribute quite substantially, particularly in the energy side in the third quarter. And so it covered some of the difficulties that were in some of the other markets. And it’s just a matter of over a long period of time we decided that we invest in our businesses. And we’ve got pluses and minuses all over the place, but we just steadily invest in this year. We’ve continued to steadily invest. And you are seeing this within as much investment spending as we’ve really had in the last couple of years. I would think if you added the thing, most of which came as a result of market opportunities and we didn’t think we would be doing when we started the year.
Jim Bantis – Credit Suisse: Got it, okay. Well, I guess we are putting this in a framework of US and global brokers as getting estimates slashed across the board. But I mean, from the explanation you’ve just given me, it sounds like a lot of these gains while there is some market volatility involved, a lot of this is stable given the investments you’ve made.
Chuck Winograd: Yes. I think that we are growing and building our business. I shouldn’t understate the fact that volatility just helped all trading businesses this year, but --
Doug McGregor: Some of the agency businesses have also benefited, Jim. I mean, as Chuck pointed out on the cash equities business, our market share has gone up quite dramatically. I mean, some of the people that we’re competing with aren’t financing their clients any more or can’t finance them, and the Carlin acquisition did give us as it turned out a very good product to roll out. So where we are just in the agency cash businesses, our market share has gone up, but hopefully that will sustain itself.
Chuck Winograd: I’d also add that a few of our client looking at the wills, you would not have hard time concluding that we are a better counterparty on a relative basis by a long shot than we were 12 months ago, and we were good then.
Jim Bantis – Credit Suisse: Great. Okay, thank you. And then just quick follow-up question, looking at International Banking revenue, down quarter-over-quarter despite the RBTT acquisition, I think there was a mention with respect to writedowns in the banking business, but – and they are hard to see that what type of CDO parts might be in there. Can you just describe that a little bit, Janice?
Janice Fukakusa: Sure. Yes, there were some writedowns in their available-for-sale portfolio. There were some agency-preferred shares that we wrote down. And in addition to that, some of the Alt-A MBS where we wrote it down to market values because we determined that it was other than temporarily impaired. I think that was about $15 million. So, that really is why you see that drop in revenue.
Jim Bantis – Credit Suisse: Janice, were those assets in the RBTT portfolios?
Janice Fukakusa: No, they were in the RBC Bank US portfolio. As you know, they run an investment portfolio. The agency press, for example, were legacy investments that have been there for quite a while. So – and then MBS, because they do run about a $5 billion portfolio.
Jim Bantis – Credit Suisse: I guess I’m just surprised at this charge coming this late in the game regarding those portfolios, particularly if it’s in the Centura or Alabama?
Janice Fukakusa: Well, I think, Jim, that we look at all of our available-for-sale, which is under the oversight of our Corporate Treasury group and what we are looking at is the determination of other than temporarily inhered. So, at this point in time, given the aging of some of those securities, and you know that we also in our disclosure show the unrealized gains and losses in those portfolios. We made the assessment this quarter that those securities would probably not recover and that’s why you see that writedown reflected there.
Gord Nixon: You’re also starting to seeing it now in terms of the (inaudible) issue is sort of hit the press recently, and I would say we are actually quite early in terms of making our adjustments with respect to that, although we’ve just recently announced our quarter. But I think there were a couple of announcements that came out yesterday. But from our standpoint, it’s not a material number. I think we sized it.
Janice Fukakusa: Right. And so, the $50 million writedown for the agency press plus the MBS.
Jim Bantis – Credit Suisse: Okay, thank you. I’ll re-queue.
Operator: Thank you. The next question is from Robert Sedran from National Bank Financial. Please go ahead.
Robert Sedran – National Bank Financial: Hello, good afternoon. Janice, I know the treasury revenue tends to get allocated to the segments. Was it in anyway a meaningful contributor, positive or negative, to the year-over-year growth in Canadian banking this quarter?
Janice Fukakusa: I would say that there was nothing unusual about the contribution from treasury. The core banking results in our Canadian banking platform were pretty clean. And so there is no – nothing from treasury is causing any unusual revenue bump or revenue decrease.
Robert Sedran – National Bank Financial: Okay, great. And Gord, just a follow-up on Brad’s earlier question. I know you can never rule it out, but is it fair to rule out a wholesale acquisition in the US? I mean, you’ve added a number of displaced professionals in last (inaudible). Just seems you can get the business and not getting [ph] the balance sheet problems.
Gord Nixon: Yes, I think that’s exactly right. I mean, Chuck and Mark and Doug’s response to the previous question I think was just indicative of what we’ve been trying to do for a while. We really like that strategy. We think we can deploy our capital and get very attractive returns by choosing areas where we can compete, where we can be competitive. And a major wholesale acquisition, I don’t think -- you know, you never say never, which I would repeat. But it’s just not something that strategically we think makes sense for our organization. We really like the mix between our retail wholesale 75/25. We are not dramatically shrinking capital on wholesale, but we are certainly charging the wholesale bank more and more for it, and I think they are managing the business effectively on that basis. And taking on someone else’s headaches we just think is not as an attractive way to deploy capital as we can do on our own. And as you know, we have a few headaches of our own as well. So, the likelihood is very, very remote. I think you’ll see us continue to do more from a mix perspective of what we’ve been doing over the last couple of years. And as I say, we really like this sort of 75/25 if I can lump Insurance and Wealth Management in with the 75, split between our business, as we think it’s a really nice model for the future.
Robert Sedran – National Bank Financial: Well, thanks.
Operator: Thank you. The next question is from Ian de Verteuil from BMO Capital Markets. Please go ahead.
Ian de Verteuil – BMO Capital Markets: Question for Morten. (inaudible) of the note to shareholders, very good disclosure on the US banking assets and norms we worry about. The two categories, the home equity and the lot loans, I look at that that sort of $4.5 billion, yet when you look at the impaired loan formation and the provisioning on the retail side, they just don’t look as high as as we see other people having. Can you talk to is there something in that book that you think sets it apart from typical HELOC or lot loan business?
Morten Friis: Let me start with the HELOC piece, and so if you look at the – I mean, the underwriting standards are actually quite high. I mean, this is like the rest of us that we’ve never had any subprime origination. And these have been appropriately done on a conservative loan-to-value basis. And the reality is that given where the US market has gone, notwithstanding those underwriting standards, we are seeing some deterioration in the home equity loan business and we have highlighted the trend there. They still continue to perform reasonably well. And I would say, that’s compared to a number of our peers. The HELOC we are seeing is probably better than a number of those. So that’s why that might be slightly better than what you would expect. In terms of the lot loan portfolio, I mean, it’s with the addition of the Alabama National portfolio. We’re at $1 billion, as you can see here. It is one that’s – up until the last year and a year and a half it has actually performed extremely well. It is a small portfolio where we are seeing a consistent number of loans get into trouble. But the degree of provisioning that you can kind of read in, if you read all the various pages of the supplementals to figure out roughly what the size is, is all that we’d see coming out of it. I mean, there is – part of the issue here is that even for lot loans while a lot of these were properties where people had probably bought them in the anticipation on ongoing increase in value, the ultimate recovery from the property itself is enough that you don’t have provisioning to a huge proportion of the total loan. You just have to recognize that there is going to be a significant haircut on disposition and provisions are being set accordingly. So –
Ian de Verteuil – BMO Capital Markets: Is the HELOC book, is it towards lien or second lien?
Morten Friis: They are second charges basically exclusively.
Ian de Verteuil – BMO Capital Markets: And those lot loans, are they secured just by property or is --?
Morten Friis: There are secured on the property. But because they are lot loans, they are properties that we may or may not be – and they are generally serviced, but they are properties that may or may not be easy to sell it. You can see disposition of them in the near-term.
Ian de Verteuil – BMO Capital Markets: Because if I add up with prior four quarters, it’s sort of 60 million of provisions you have taken in the entire retail book. And given the $4.5 billion profile, that’s just an excellent performance.
Morten Friis: And I mean, if you look at the proportions of it, the home equity piece is by far the largest piece. And while we are not happy with the performance relative to what we hope for normal conditions is actually, as I said, it’s just performing some part, not a terrible performance. In the provisioning, we are flexed to performance as we see it. And while there been negative trends, the negative trends are actually relatively modest. They are just at levels we are not very happy with.
Ian de Verteuil – BMO Capital Markets: Thanks.
Operator: Thank you. The next question is from Shannon Cowherd from Citi. Please go ahead.
Shannon Cowherd – Citi: Hi. Would you comment on the Canadian banking growth in non-interest income? Your competitors have reported they are like declining in their home equity products, declining market share. And while growing this business, is it better pricing or is it product differentiation, or is it a combination of both?
Gord Nixon: If I understand your question correctly, it’s how we are achieving out outstanding 17% growth in home equity?
Shannon Cowherd – Citi: Yes, especially the non-interest income piece. Is it piece on the home equity products?
Gord Nixon: No, non-interest income would not be attributable in Canada to home equity. So, our non-interest income is largely driven our deposit accounts and the revenues that we get and the fees that we get on our accounts. And we’ve had a big push in the last year to really improve the competitiveness of our core deposit accounts introducing MultiProduct Rebate, introducing a whole new line up of accounts and we're achieving significant success in that field along with some price increases this year. So those two factors are really driving our non-interest income.
Shannon Cowherd – Citi: And then you have to just speak [ph] to the home equity lending piece being up 17%?
Gord Nixon: Sure. Coming back to the investor presentation, in April, we talked about the collaboration that we have across our channels and how we work together on behalf of the client and that's really paying great dividend across our mortgage specialists working with our branches really able to go and outsource new business across the number of channels is contributing largely. So that's a great success we are having.
Shannon Cowherd – Citi: And then quickly –
Morten Friis:
. :
Gord Nixon: We do not charge the customer fee to originate a mortgage. We originate it and hold in our balance sheet. And our income stream from mortgage is the interest earned.
Shannon Cowherd – Citi: Okay. And then real quickly I noticed in the -- on the sub (inaudible) where you list the changes to reporting, reclassified certain trading revenues from interest income to noninterest income this quarter that you sort of changed in the reverse in the course in the first quarter? Could you just tell me why?
Janice Fukakusa: That was a misclassification in both the quarters. It has to do with some of the trading revenue we have that is spread related, if it's on the balance sheet versus off balance sheet hedges that are in other income. So it was basically a correction to more properly reflect the split. That's why when we look at overall trading revenue, we look at both the net interest income and the noninterest income portion together.
Shannon Cowherd – Citi: Thank you.
Operator: The next question is from Darko Mihelic from CIBC World Markets. Please go ahead.
Darko Mihelic – CIBC World Markets: Hi, thank you. I have a number of questions for Janice. I'm tying to simplify and make it as quick (inaudible) we can. I am looking at the international banking segment and noticing that RBTT is now in the results, but --
Morten Friis: Can you speak up, Darko, please?
Darko Mihelic – CIBC World Markets: Sorry. Can you hear me now?
Morten Friis: That's better.
Darko Mihelic – CIBC World Markets: Looking at international banking chain, can you explain how much of an impact if at all RBTT had on revenue expenses, PCLs and -- if I am looking at it correctly also, wondering why deposits really didn’t jump up as much as they should have for the RBTT inclusion? Thank you.
Janice Fukakusa: Thanks, Darko. RBTT, the actual TNL, it was two weeks. Because there we're reporting them on a non-coterminant basis. So we are reporting them on calendar quarter. So, what you would basically see in RBTT two weeks of earnings which would be modest revenue and expense. The (inaudible) international banking is a major acquisition there that we have a full-month of run rate is Alabama National. So that would be driving some of the metrics in terms of revenue and expense growth. And that's why you see for example, the expense base increasing on a run rate basis about 25% from where its been over not last quarter, but the quarter before when we had no acquisitions in. In terms of the overall balance sheet, we have -- of course we consolidated what's in there in the balance sheet and what -- I have to take it offline because I am not quite clear on exactly how much in deposits, when in -- with respect to RBTT versus what’s happening with respect to the other acquisitions. And the other -- the other thing to note is that in our RBC Dexia segment, we do proportionate consolidation there. So there is -- there might be some impact on deposits there, but we will get back to you on that.
Darko Mihelic – CIBC World Markets: Okay. Thank you.
Morten Friis: The one-time charges –
Janice Fukakusa: Yes, that’s true. And so, the other thing to note on the acquisitions is with respect to the NIE there are some one-time charges related to RBTT which would also be in the NIE. So if you look at NIE growth, up stay from a normalized without acquisition to this quarter of about 25%, about 20% of that 25% would represent one-time charges.
Operator: Thank you. The next question is from Andre Hardy from RBC Capital Markets. Please go ahead.
Andre Hardy – RBC Capital Markets: Hi, Janice. One of my questions was a follow-up on that last point you made. So we had an integration charges in this quarter. How long do you expect integration charges to effect expenses on both Alabama National and RBTT or was that at all capitalized in this quarter?
Janice Fukakusa: We, Andre, we basically capitalized most of the integration charges. But as you know in terms of the purchase price equation, (inaudible) year on all of our acquisition. So there maybe some other noncapitalized acquisition expenses we could have in RBTT because we only have the two-week period. We think that we pick them all up, but as we get into the next reporting period we might have some there. With respect to Alabama National, I think that were true in terms of any one-time charges there.
Andre Hardy – RBC Capital Markets: Okay. And the other quick one on insurance, it looks like there were some unusual gains this quarter. But historically thought this business has roughly a $100 million quarterly run rate business. Would that still be accurate?
Jim Westlake: Yes, I agree. It’s Jim Westlake. I wouldn't describe them as unusual. We did have a series of separate positive gains from reserve releases. I would continue to look at it as approximately $100 million or so. We think that we are very conservatively reserved in the over time as we do studies and actuarial trending that we will tend to see more positive than negative, but that's not a bad spot to start from.
Andre Hardy – RBC Capital Markets: Thank you.
Operator: Thank you. The next question is from Michael Goldberg from Desjardins Securities. Please go ahead.
Michael Goldberg – Desjardins Securities: Thanks. I have a couple of questions. First of all, if the conditions that cause the $0.20 of markdowns during the quarter, hadn't been present could I conclude that earnings per share would have been a $1.12. In other words, do you have trading positions on that materially benefit from the conditions that cause the markdowns on the other side?
Unidentified Company Speaker: I mean I don’t think you can say that. In the end, the markets are still quite volatile. And I think our trading operations benefit from volatility and the fact that in this type of an environment you get phase more of putting up your capital. So there clearly is some double-edged sword here. But I would describe --
Unidentified Company Speaker: There is no direct offset.
Unidentified Company Speaker: No, no, there is no direct, there is no major direct offsets in there. But in terms of the environment is there, I would describe sort of the third quarter as certainly being less that, that freights would apply, that description apply less of a third quarter than the first quarter with the second quarter being somewhere in between.
Michael Goldberg – Desjardins Securities: Great. And I guess one other question, could you provide some color on the decision to again hold the dividend flat to $0.50?
Gord Nixon: I mean I would say that certainly it was management's recommendation than I think that ultimately add the board decision. I don’t think there was any disagreement. I mean I think we got it stated objective with respect to a payout ratio. And given the year in where we are today and where we are with respect to that range, it wasn't -- I think something that we gave a lot of consideration to at this juncture and it's something that we will review at year-end. But I think it's just relates very much to our stated objective and where we are today.
Michael Goldberg – Desjardins Securities: Okay. And if I could couple of number questions. First of all how much gross impaired loans came with RBTT? And can you also give me some idea of the amount of level 3 assets and liabilities that you have at the end of the third quarter?
Janice Fukakusa: Why don't I take that last question first, Michael? We don’t follow US GAAP level 1 to and 3, but what I can tell you is overall in our portfolio about 1% of our securities are valued using models for their no market observable inputs or no market observable referenceable direct securities. So that would be sort of the equivalent to level 3.
Michael Goldberg – Desjardins Securities: So that's 1% of call securities?
Janice Fukakusa: Yes.
Michael Goldberg – Desjardins Securities: Okay. And liabilities? And what about derivatives?
Janice Fukakusa: Yes, that would include derivatives. So I am counting all of our securities positions including derivatives.
Michael Goldberg – Desjardins Securities: So I have to add your securities and your derivatives together?
Janice Fukakusa: Right.
Michael Goldberg – Desjardins Securities: Okay. And what about liabilities?
Janice Fukakusa: That includes the liabilities, too. So of course, in certain different categories, like in derivative categories there would be a slightly higher weighting towards model than other securities. So I'm giving you a blended estimate of the total. And Morten--?
Morten Friis: And Michael, in terms of the impaireds that came with the acquisition, we don’t actually provide that what linearity and our disclose [ph], and I don’t have the number I had. So I'll have to get back to you offline. I mean it is suffice to say that it's quite a small number. But I don't have the precise detail with me.
Michael Goldberg – Desjardins Securities: I am just trying to follow the impaired loan continuity in this impact that --
Morten Friis: If you go through the supplemental there is a lot of detail provided to. You only triangulate on some thing comes really close but we'll take a look at it and we will get back to you.
Michael Goldberg – Desjardins Securities: Thanks, Morten.
Operator: Thank you. The next question is from Ian De Verteuil from BMO Capital Markets. Please go ahead.
Ian De Verteuil – BMO Capital Markets: My first question relates to the other income statement. Marty, I know you've some run some -- you tried to clarify this for us. But the spike up, how do I think of that -- I mean is it that because of the swap business, the revenues were very good and that feet through in the trading revenues that Chuck is talking about, and may or may not reoccur, how do I think of that extra couple hundred million of earnings of -- sorry of revenues?
Janice Fukakusa: See, Ian, if you look at the trend line on a quarterly basis, that those particular -- there are two aspects to that. First of all, two-thirds of a change relates to mark-to-market gains cross currency swap that hedge our funding. And so with respect to -- and then and part of it of course relates to the widening of our own credit spread. So, because this is not a perfect hedge, it's an economic hedge, but doesn't qualify in terms of an accounting hedge. There would be, to some degree, an offset in spread income for the other side of it. Because this is on our structural book, so if you look at that part of that is already offset in our income statement, another part of it would be winding down depending on where interest rates are as we reach the end of the con. With respect to the rest of that volatility it relates to the gains on our credit default swap and as you know those credit swaps are in place at risk. So to the extent there is another side on those there is a tightening issue with respect to how we recognize potential provision for credit losses versus the mark-to-market gains on these credit default swaps. So that accounting volatility.
Ian De Verteuil – BMO Capital Markets: So effectively, the -- as the spread blows out on something that you hedge, do you book again on it? The -- it's likely though they have an actually been a provision set up because there is probably not impaired.
Janice Fukakusa: Right.
Ian De Verteuil – BMO Capital Markets: So the question is to the extent they named it default. How would that you think about PCL in the future. And how would that reverse?
Janice Fukakusa: What we would have is the matching. So as we would have if the credit spread was widening at a faster rate than as when the loans deteriorated, we would have picked up the gain in a period prior to when we were recognizing provision. So that's the offset.
Gord Nixon: What percentage of that number is the credit default swap?
Janice Fukakusa: About a third of the growth, the change is credit default swaps and the two-third (inaudible) is our own hedging on our – yes.
Ian De Verteuil – BMO Capital Markets: I will follow up offline. Busy day today. Let me follow up offline tomorrow. Thanks a lot, guys.
Operator: Thank you. The next question is from Michael Goldberg from Desjardins Securities. Please go ahead.
Michael Goldberg – Desjardins Securities: That's a question that I often wonder about also and you know just on the ACS 3855 and I just wonder why don’t you just disclose that number since it is noise, it has no economic impact on what’s going on and its just distorting the results, if its two-thirds of the $200 million roughly its not an immaterial account, just in looking at changes, so, can I suggest you just split it out like TV [ph] does?
Janice Fukakusa: We will look at that, Michael. I think that what -- it's always being our practice to speak to the reasons of that volatility. And so we will look at that. And we will get back to you.
Michael Goldberg – Desjardins Securities: Thank you.
Operator: Thank you. This concludes the question-and-answer session. I'd like to turn the meeting back over to Mr. Nixon.
Gord Nixon: Okay. I just like to thank everyone for participation and we look forward to your questions next quarter.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And thank you for your participation.